Daniel Pretorius: Good morning, everybody, and thank you very much for braving the elements, both natural and man-made, to get here this morning. You're all very special to us, and it's very good to have you here. Riaan and I will take you through this presentation and just take you some of the highlights of the past six months and - an eventful six months it were, or it was. So it were, or it was, James?
James Duncan: Was.
Daniel Pretorius: It was. Thank you. So I'll take you through some of the key features. Riaan will, as usual, take you through the financial news. It's really been a period of two opposites, so to speak. On the one hand, there is the excitement of our new project in the Far West Rand that took off quite nicely. We started construction at the Far West operations of the plant in August and set ourselves the target to start commissioning towards the end of the quarter, which we managed to do. We had about 2.5, 3 weeks of production of the newly refurbished DP2 plant. And then that's working really well for us. So we're quite pleased with what we're seeing in terms of metallurgical recoveries, quality of ore body, volume throughput, et cetera, et cetera. And that ramping-up will take place as we go along. On the other hand, we had the volume challenges associated with the Far East Rand. So although the plant is in good shape and the plant has had the benefit of all sorts of additional backup infrastructure, et cetera, we were not able to completely avoid the impact of very significant interruptions in power supply, especially towards the latter part of the quarter. And these weren't just associated with inability on the part of Eskom to generate power. A lot of this had to do with the grid of the - just the state of the distribution grid, the standard of maintenance, et cetera. And this is something that we brought to the attention of the market a number of years ago that, increasingly, our concern was that the quality of maintenance of the distribution grid and challenges experienced in that regard becoming more and more of - were becoming more and more problematic. And we saw that the response time following, for example, a lightning strike and knocking out a substation. Whereas, in the past, there was a ready inventory of spares that could just be loaded onto a truck and taken to the substation. Now Eskom has to shop around and go and find transformers somewhere in the northern Cape, et cetera, et cetera. So those are the sort of challenges that we see our supplier of electricity is experiencing in maintaining its grid, its distribution infrastructure. And it might be a while before that's sorted. Of course, you don't have these massive thunderstorms every day. You don't have the impacts on the grid on a daily basis. These are events that take place from time to time. And in order to offset those, you just need to become more resilient in the design of your own risk management infrastructure. On the upside, Ergo managed to launch three of its projects, successfully, which we'll refer to in more detail. Two of those, in particular, the 4L50 reclamation site is doing very well. And this is a site where we are focusing on a very particular way of reclamation. So in the past, when we have these rainstorms, because of the very large, open areas on the reclamation sites, you have an accumulation of water, and that water had to find its way into our pumping infrastructure and into the plant. Separation of clear and dirty water was not something that the approach had taken the mine - the mining approach or the mining methodology. This is different now. And we find that even at times of very significant downpours that we manage to separate [indiscernible] water accumulating on these sites and that the impact on dilution is not as profound. So 4L50 is helping us to offset a lot of the volume challenges that we experienced on some of the other sites where we don't have this sort of regime. We saw a 3% decline in gold production to just over 2.2 tons for the six months. 2.2 tons, on the whole, is not too bad, considering where we were a few years ago, but it's still down on where we were this time last year. And obviously, considering the sort of investment that we're making on an ongoing basis, this is a trend that we prefer to avoid. It is attributable to very specific events in the organization. Not indicative of a trend but very specific events. And obviously, the extent to which we can anticipate and avoid or minimize the - reduce the impact of those events going forward will assist us in getting that production back to where it's supposed to be. And of course, as a consequence of both the reduction in production and the fact that we saw an escalation in costs, our operating profit was down to just over ZAR100 million. All-in sustaining cost margin of 0.8%. We wanted to be quite a bit higher than that. But then this is also a month where - not a month, a period where investment in growth capital, not just sustenance capital but growth capital, exceeded ZAR300 million. And obviously, the bulk of that come into the Far West operations. And we're at the end of that investment cycle, and that's one of the advantages, I think, of our model in that we long capital, you spend the money upfront, your processing capacity is put in place, and going forward, it's really a matter of top-up capital towards maintenance and odds and ends of strategic investments here and there. We've up the environmental spend. There's some detail on that as well. And then that's really part of our sustainability philosophy. You cannot produce gold in Johannesburg and not be conscious of the impact of your operations on surrounding communities. Dissipation, in particular, is a big issue. And I think communities are just also far more aware of what they're entitled to. They are entitled to a clean environment, and the fact that the city came to the mine, that's not really an excuse. The fact that Johannesburg had grown around these mine dumps, that we have communities that have been settled much closer than what the recommendations from the industry were a few years ago, in the 1950s, suggesting that you've got to be several hundred meters away from these dumps, that wasn't heeded. It wasn't heeded before 1994, and surprisingly, it wasn't heeded after 1994. And we've had - we've seen many communities spring up around the mining areas within reach of the - of mining infrastructure. And as a consequence, the standards that had to be applied in order to limit the impact of the environment on the quality of life of these communities, those standards have had to be revisited, and as a consequence, we're spending quite a bit of money on dust curtailment and also on effluence. It's a long way to go still. I think the legacy of mining is going to be with us for many, many years, if not decades. And at this stage, unfortunately, there is only one entity in Johannesburg involved in any kind of cleanup, and that is us. And the extent to which we can do this, although I'm quite happy with the rate at which we're doing it, is limited. And it will be some time before the legacy is completely neutralized. And then something which is also an important aspect of components of our sustainable development story is our alliance on portable water. Now this is relevant for three reasons. One, we don't have an unlimited supply of potable water in South Africa. So in order to derisk the organization, the operations, you want to reduce your reliance on that and find alternative sources. Secondly, the water that we are sourcing from alternative sources is cheaper than portable water. So there's a very significant commercial imperative as well. And then thirdly, our natural footprint is something that is of concern to us, and we don't want to be an unnecessary, heavy burden on nature. And hence, this falls nicely into that binocular. So moving on. Just the operating trends, which really is the key to everything. It's how we pay for all of these other things that we're involved in. There you could see that the volumes are quite a bit down compared to the 2018 first half numbers but comparable to the second half of the same period. And that is as a consequence of what I'd refer to in the highlights, mostly to do with interruptions in power. Yield. It's actually difficult to explain just almost how insignificant this difference in yield is, but if you multiply everything by 2 million tons, then of course, it does become fairly significant. So we're 0.004 grams per ton lower than what we were in the previous period. Production-wise, consequence of both lower tons and also the slightly lower yield, you could see we came in just under 2.3 tons of gold opposed to the just-above 2.3 tons of gold in the preceding half year. So I'm going to hang over to Riaan, who will give you a far more intelligent summary of the financial performance of the business over the last six months.
Adriaan Jacobus Davel: Thank you very much, Niel. Good morning, ladies and gentlemen. I beg to differ on the intelligent part. My job is made a lot easier with the context that Niel has provided, and you'll see the production flow-in and the core of that flow-in flowing into the numbers. Firstly, looking at the operating margin. Yes, as Niel has explained, we've a - basically a flat gold price period-on-period. And I always compare it to the last six months of the calendar year, 2017 to 2018, so the first six months of our financial year. Unfortunately, production, down as a result of throughput that was down. Yield, also slightly down. And with a flat gold price, obviously, that will impact on the operating margin directly. Still at 8.2%, which is not bad, but as Niel has explained, we would like that to be better. Those same factors, unfortunately, flow into all-in sustaining cost margin, sitting for this period at 0.8%. In that number, not only cash operating or cash cost's taken into account but other factors, like environmental unwinding of a provision, some administration and general costs. And maybe, just to point out, in these numbers, it is the first time that we've included Far West. So for example, on a cost side, you do have a disconnect in that under the accounting standards. You cannot capitalize all costs as directly attributable to the capital side of the project. There's an element of that, but there's also an element of holding costs in that period that you construct. So the way we look at Far West at the moment, we're actually very proud of having contained costs. And Niel has referred to using existing infrastructure that's there to do some processing. Obviously, that's not our main project, but as a result, that reduces costs. But if you then measure operating performance, for example, it posts quite a negative picture, but it actually isn't. And we see it as normal in any startup of a project. Free cash flow. The story there for us is the positive story about growth. So as Niel has alluded to, we have invested, from a cash point of view, but from a total expenditure point of view, over ZAR300 million in growth capital. The most of it in the Far West area relating to Phase 1 of that project. So it is really an amazing story. We're all set up there. We've settled in. And it's all set for great things, not only Phase 1, but also all the further work that we're already doing and have started to do on Phase 2. So very much a growth phase of our business, looking to the Far West, and that's an exciting path for us. All of the results, the operating results, as you know, flow into headline earnings per share. Again, we have contained some costs on Far West operating-wise. You've seen the cash flow. I'm sure not a great six months for Ergo. So won't allude to that period. The second six months of our financial year 2018 you would recall that, that was a very low-gold price period. And obviously, that flows straight through to our bottom line as well. Then looking at the income statement, the statement of profit or loss for the six months. Revenue, basically flat period-on-period. So the gold price increase of 1%, gold sold down by 2%. And as Niel mentioned, unfortunately, we set off the costs in cost of sales. So the normal increases that we expected, Ergo was up, cash operating cost-wise by 6% and in the additional costs coming through from Far West, where you don't have a matching revenue at this point in time and as you know, it's all a cutoff at 31 December. You do set off costs and not the revenue that you expect. And then, unfortunately, from a gross profit point of view, means not an exciting position at this point in time. Administration expenses and general costs, also sitting there. You would remember, at the beginning of September last year, we introduced a zero cost collar for some price protection, a very short period of time, nine months. There was, unfortunately, a negative impact at 31 December. You would remember that the gold price rallied just before - after Christmas just before New Year, I think, it turned at just over ZAR600,000 a kilogram. For those of you - close to the fair value world and mark-to-market of these derivative instruments that had the impact of a liability, about ZAR8 million. The positive side to that is that someone is telling us that the gold price is on the way up. And as you know, that is very exciting for the Ergo business but even more so for Far West, where it's sitting at about ZAR580,000 now. So again, but that impacted the results for the six months negatively. The finance income, live. You would recall now, but I'll allude to it on the balance sheet. Obviously, we have a lot more assets from an environmental asset point of view. We have trust funds as result of the acquisition of the assets and liabilities from Sibanye. So broadly, that is the interest charge on our environmental investment. [Indiscernible] about ZAR18 million of that number. The rest of it is our own interest. And then on the finance expense line, although from an income statement point of view, quite a negative impact, ZAR33 million of that number relates to the unwinding. So an interest expense of the environmental liability. And obviously, that includes the number that we've now recorded from the acquisition of the Far West, which I'll allude to on the balance sheet as well. Then some small deferred tax adjustments that leaves us with a loss for the period, and that impacts the earnings or loss per share and headline loss per share for the period. Very exciting balance sheet. And I want to emphasize that. So for the first time in a very long period, we have assets now in two major areas in the Johannesburg region. So a very strong balance sheet. I'll point to the fact that there's still very minimal debt on that balance sheet, but as Niel alluded to, we've basically spent the majority of the capital required for Phase 1 in Far West. And this balance sheet reflects an 83% increase in the DRDGOLD reserve, where we just have - at Ergo. So really an exciting point for us to move forward. So it's a strong balance sheet, much stronger than what we had before. So looking at the property, plant and equipment line. So that's obviously the acquisition of the assets from Sibanye-Stillwater at effective date of transaction, the end of July, so its fair value that we've recorded plus the approximately ZAR300 million that we spent on the Phase 1 capital. So - and again, the other part of that - those assets sits in the Ergo business. A very significant addition is the investment in rehabilitation funds as part of the transaction, ZAR360 million of trust fund money cash came over and is under the trustee's control of the DRDGOLD group. And again, from a funding point of view, quite a significant step in funding most of our liability. So a very strong position from an environmental funding point of view. It is - as Niel said, it will remain one of our key focus areas as part of our sustainable business. Slight increase in financial assets. Deferred tax didn't really move. Cash and cash equivalents, I'll elaborate on in the cash flow statement, but I believe still a very good position for a company in the growth phase. So over ZAR200 million in cash and cash equivalents. Other current assets. Slight increase in inventory, trade receivables from the comparative period, end of December, 2017. Then equity. As you know, the corresponding entry due recording the assets and liabilities is effectively the 265 million shares that we've issued to Sibanye-Stillwater as part of the acquisition. That late number will sit as an increase in equity. As part of the transaction, we've also picked up the related liabilities of those assets, ZAR247 million added to that line. But you can really see from the funding that's available, yes, very much fully funded if you look at it in isolation from our Far West Gold Recoveries business. Some of you close to accounting may say, "Where is the deferred tax on this acquisition?" There is no deferred tax recorded. It's the acquisition of assets and liabilities and not a business, the business combination. And there the accounting standards prohibits the recognition of deferred tax on that acquisition. So although there is a temporary difference between the value of the asset and what you can deduct as a tax base in the future, standard says you're not allowed to book that, the deferred tax liability. So no - literally no change on deferred tax. Then for the first time in a long while, I mentioned some debt, external debt, the ABSA revolving credit facility on our balance sheet. I see it as very healthy debt in a growing business, not excessive at all. So that's, I think, a very good position for us. Then on current liabilities, we see quite a bit of increase there. There's a healthy chunk of capital creditors. It's called that as part of the Phase 1 creditors, so - which is all good financing. We've used creditors to finance a little bit of the acquisition, which obviously has an impact on current ratio but, again, in a short term, quite a healthy position. And we're not worried about that debt ratio at all. Then the statement of cash flows. Yes, so reduced expenditures at Ergo, reduced production and gold sold, a flat gold price, coupled with the Far West startup cost, per se, unfortunately, nothing exciting on the operational cash flows or from operating activities. So the growth part of [indiscernible] exciting part of this cash flow is the actual spend. So that's the cash spent, the ZAR247 million, I've mentioned a little bit in creditors. So the overall spend, over ZAR300 million, that's the cash portion of that. And then, obviously, net borrowings raised coming through the cash flow statement as well. So still, leaving us with a very healthy cash position of ZAR200 million. And even better than that, you would recall that previously a portion of the cash and cash equivalents were held in a trust account or an escrow account by our attorney relating to the Ekurhuleni municipality matter. So it was - it's part of cash and cash equivalents but noted as restricted cash. So otherwise, you would ask why did we go and borrow if we actually had cash available. But that came - only came available as free cash or unrestricted cash after 31 December, when the money was released from the attorney's trust account into the DRDGOLD group or the Ergo bank account and in its place, we issued a bank guarantee, which - positive already. So that cash is available in our business or the majority of that, ZAR200 million, which leaves us in a very comfortable net debt position and also from any ratio covenants point of view. So that's a bit of exciting subsequently great news as well. Okay, handing back to Niel.
Daniel Pretorius: Thanks, Riaan. I think I've covered most of this in the highlights, and it will remain an important focus area for us going forward. And we've probably also reached a stage where we have to be a little bit more aggressive on how we communicate our involvement and where we are required. The fact that we are a mine and that we are in Johannesburg doesn't mean that the entire Johannesburg footprint is our responsibility. So from time to time, you would read that this organization or that individual or this journalist has stumbled upon something that is placed at the feet of DRDGOLD. And then just read in the intelligent place what the real situation is. And we - invariably, we do publish something to setting the record straight. So we are very committed to maintaining our footprint to a good standard, to a responsible standard. We're very committed to make sure that we clean up after our own mess, but we're not cleaning the mess of other entities or corporations. And the mere fact that it exists in proximity of our operations doesn't mean that we're going to be rushing to the rescue of this and that and throwing our shareholders' money at issues that have been by other entities and other individuals. It doesn't mean that we are entirely indifferent. We do make our resources and skills and our intellectual capital available for some of these ventures and always trying, in particular, we - assisting out on certain areas where there is a requirement. But that is without cost to our shareholders, and that is as part of our commitment to being a good corporate citizen. And we'll certainly make sure that we maintain a healthy balance between this and what we are legally entitled to disperse out of our shareholders' capital. So on the just looking ahead. I think with the events of the last few weeks, the weather issues in December, the maintenance issues in December, with regards to electricity supply, et cetera, et cetera, we've just come through the Mining Indaba, where I think, on the whole, the mood was quite positive. We listened to the state-of-nation address, which I think all of us find very encouraging. There seems to be a clampdown on corruption, [indiscernible] state capture the impact of that. But I think we're also paying the dividend of a long period of neglect and tolerance of conduct that had brought many of these key state enterprises in pressure - under pressure. And then it's likely to continue going forward. So where does that place a gold producer in South Africa at this point in time? When you consider your risk, when you consider the deployment of capital and resources, et cetera, what are the things that you need to consider? And I'll share with you what my view is in our limited environment and how we are exposed to it on a day-to-day basis. So over the next six months, I believe that the two key drivers of - where we are likely to be at the end of this reporting period, going to be the extent to which we can absorb and navigate our way through the electricity supply impacts in the East Rand because we - there we have an extensive footprint with direct impacts on a virtually daily basis. How do we manage that relationship not just between ourselves and Eskom and make sure that we don't have interruptions when in fact there should only be curtailment? But we also have relationships with various of the agencies of Eskom. And that is something that I think we need to start emphasizing. A municipality is not a client of Eskom. A municipality is an agent of Eskom. So national government, provincial government, local government, the one acts on behalf of the other. So to say that Eskom is under pressure because a municipality is not paying, that's a bad excuse. It means that the principal is not managing the agent properly. But we need to deal with that agent from time to time. And they have their own challenges, et cetera, et cetera. And there, a relationship is not always as clear-cut and mature and commercial as the one that we have with Eskom. So on a localized basis, you would find that there is a little pocket tucked away in Germiston, for example, where the response time to a power cut or a cable theft is not quite as good as you would find with the Eskom infrastructure, where it's still at a different level. But that is the one driver. That's one of the key aspects, key elements over the next six months that will impact where we are at the end of the six months' period. It's how effectively we can navigate our way through what is a clear and present risk to business and to the economy and the impact that, that has on our volume throughput. Now obviously, this is not something that we woke up to yesterday. It's something that's been in the running now for many, many years. In fact, the big Eskom shock you would recall happened in February of 2008, when we received letters from Eskom saying that we cannot guarantee uninterrupted power supply. And since then, we have been systematically putting measures in place that make sure that we have a handle on an ever-growing risk, and that we can mitigate the impacts of those risks. So for example, we have virtually autonomous power supply, backup power supply, at our large tailings facility in the Brakpan tailing stem. So in other words, we can both pump material onto the tailing stem and take water off the tailing stem with the capacity, the power-generating capacity, that we have there. And that's an important aspect, not just from an operational perspective, but also from a safety perspective. That is essential that you maintain ability to take water off your tailing stem, even if the whole of the country is in a blackout scenario. For the rest, insofar as our plant capacity is concerned, there we've made sure that we can keep the plant in suspension, that we can keep it moving because what happens in the event of a power outage, is that you obviously have a slowdown of material and a settling of slimes material with a risk of choking infrastructure. And the biggest ones, they are the - are thickeners. Those thickeners need to be kept moving. And the slurry in those thickeners, that has to be kept in motion all the time, or else it settles to the bottom of the thickener and the thickener can choke. But that's a 10-day interruption. To drain the thickener, to clean it up, to fill it back up, again, is the only thing from between 7 and 10 days. And those are the sort of interruptions that we can't tolerate. We had one of those last - in the last quarter, but fortunately we have four thickeners, so we do have some capacity. But to get back to the extent to which we place ourselves in a position to manage impacts on volume, We have the ability in our plant to make sure that the plant does not produce only for that period of time that power supply might be interrupted. And that is very seldom a complete interruption and more often than not just a reduction of load. In the event that there is a complete interruption is because somebody made a mistake, or there's been some breakdown in the grid. And those instances are, despite the fact that we're all very unhappy with what Eskom has allowed to happen to itself, those events are few and far between. So manageable risk. Key driver on the one hand, volume throughput on the East Rand. Another key driver that will inform and define our results for the six months going forward is the rate at which we could start ramping up for West Rand. And, of course, there the electricity risk is somewhat different. There we don't have a 60-kilometer footprint with 10, 15, 20 different points where we draw power from. In fact, I think, it's a few more than that. I don't want to tell you how many it will scare you, but not that bad. In the Far West Rand, it's a very contained footprint. It's an operation that you could cover with a proverbial blanket, reclamation sites right next to the plant, everything is right there, it's concise. And these are dedicated lines running towards mines. So as a consequence, there's a different degree of diligence that's mainly attached in monitoring the power supply into those. I don't think Eskom wants to stand accused of allowing 11,000 people to be threat underground because inadvertently switched off power supply to a when, in fact, it wasn't necessary. So being on a dedicated line, being part of the mine grid, you have a different risk associated with electricity supply in the Far West Rand, smaller operation, higher-grade. And as the rate at which we can ramp up that will be an important component of what our situation going forward is going to look like. You've seen the results in our letter to shareholders. You've seen what the costs per ton are. You've seen what the recoveries per ton are. So obviously, that is an operation that could potentially be very robust and that could be an interesting contributor towards where we are at the end of this six months. I tend to believe that the last six months in insofar is a volume throughput aspect of our business is concerned in the East Rand is probably as bad as it can get. We've probably hit a low in insofar as power supply and interruptions, et cetera, et cetera, our concern. And, I think, we need to differentiate between load shedding and a complete interruption. So as I said earlier, there might be a bit of gloom hanging over Johannesburg because of load shedding, but load shedding means in our environment, curtailment of power, whereas a complete interruption as a consequence of [indiscernible] in the group, that is a real issue for us and that's what we experienced in the last six months up to December. So assuming that this is as bad as it's going to get and taking into account that we are responsive to risk as and when they happen and that we put measures in place and that we're always tweaking and fiddling and making things better and taking into consideration how things are progressing in the Far West. If things don't improve in the East Rand and we do start achieving the short-term goals that we've set for ourselves, then, clearly, we find ourselves in a significantly better risk position than what most of the industry finds itself in. We have many in the bank. We're at the end of capital. We're getting metallurgical results that are consistent with our expectations and we've weathered a very significant storm in the Far East Rand on a key issue and we've come through without really having burnt the balance sheet in any sort of way. And I think it's important that one looks at these things clinically and objectively and then allow a notion and the general mood to overtake reality. This business is probably as well positioned as it's ever been. I think we have solutions to most of our problems. We can offset or avoid or minimize, mitigate most of the risks that we faced. And we're at the start of a very interesting and exciting new project that has the ability, the capacity to put us in a completely different state, both from a risk perspective and also a business sustainability perspective going forward. So on the whole, I am feeling a little bit like what I felt like after having listened to the state of the nation address. You can only fix something if you know that it exists. And, I think, a lot of what's happened in darkness is now being brought into the light and it's being dealt with. Maybe not at the speed at which we wanted to, but it's being dealt with, nonetheless. And the fact that there's an acknowledgment on the part of the ruling party that Eskom is in crisis, is an important thing. You can only fix it if you know that it's broken. So a lot can happen over the next six months and our company, our belief is very well-positioned to deal with most of what I believe could conceivably happen over the next six months. So we'll continue to pump mud as quickly and as rapidly and as enthusiastically as we can, manage the metallurgy around that and hopefully put ourselves in a very attractive position going forward and start rewarding those shareholders that have been in support of our stock for so very, very long. So ladies and gents, that's the wrap from us. We're happy to take questions.
Q - Unidentified Analyst: You're assuming I can read this? Our discount rate around is cost of capital, is that 15.5%? What did we use?
Adriaan Jacobus Davel: 30 June, we used 11%.
Daniel Pretorius: 11%. Okay. So question of, what was the discount rate? We used 11%, which is cost of capital, average cost of capital. And then there's a second question for the Far West project Phase 2. At what gold price NPV of construction new plant and tailings facility will exceed another option? I don't have a definitive answer for that just yet. So maybe I can talk a little bit about the Phase 2. Thank you. So what we have in Phase 1 is a plant capable of treating two tailings dams that contain between 0.4 and 0.5 gram a ton of gold, roughly 80 million tons. If you were to NPV that, then the value I think is about twice of what we recognized, ZAR1.3 billion is what we - what the cost was. And I think we - that number is in the public. We - that forecast, the NPV number, if I'm not mistaken. Okay. So we've got a...
Unidentified Analyst: [Indiscernible].
Daniel Pretorius: Yes. So it's about ZAR2.3 billion NPV for Phase 1 on a stand-alone basis, which means that there's, obviously, the - a temptation to just not do anything else. But that's not why we bought this project, we want to mine the whole thing. And we mentioning these numbers to the markets only to give comfort to the market that Phase 2 is not a requisite for value add. And when we talk about value add, we talk about cash earnings per share as a component of value add. It's very important to us when we consider any new project that we will increase cash earnings per share to shareholders. Or else what you're doing is, you're just producing the same cash but just for a high number of shares. And I think with that comes additional risk. So our approach to Phase 2 basically is the following: one, we are very determined to construct Phase 2 because we believe that in the long term providing exposure to gold price over a longer period of time is consistent with what many of our shareholders expect from us. The reason why they buy and sell the stocks because of that exposure to gold price and the multiples associated with it. So we're determined to mine that. And we're talking about a 15-year life of varying a significant production going forward. In order to do that, though, there are two important requisites or requirements. The one is, that a large tailings deposition facility is required, a new one, that has to be built. The one that's on the cards now has been licensed. And it can be built in stages. So it can cost anything between ZAR400 million and in excess of ZAR1 billion, depending on both how ambitious we are, and secondly what sort of nature containment measures are potentially required in order to do that. But we will determine going forward where in that range can we pitch this and how can we start this construction. Because you're only going to pay at the top-end, one, if it's necessary. And two, if you can justify it, if you can sustain it, measure against, once again, one of our very important value parameters namely, are we going to be diluting cash earnings per share? The second very important component is going to be the construction of the plant. And there the number that's been kicked around is a plant that has capacity of 1.2 million tons per month. Now there, we're looking at various options. It could a bespoke whole new plant built somewhere else, which will be informed both by the convenience of having it built somewhere else or the cost of building pipelines to existing infrastructure. So there will be a weighing up of a different layout options forward. Something that I could maybe just mention to those of you interested in the progress of this thing going forward is that, we have quite a lot of space in our existing infrastructure. It is also scalable. It's quite easy to build a second set of CIL tanks right next to the ones that we've got now and double capacity from 500,000 tons a month to 1 million tons a month, that is an option. That is an option that will be informed by various things. As I said, amongst other things, just the cost of piping from various sites that need to be reclaimed and produced into this plant. There's the potential but maybe there's a potential potentially of future collaboration, which means that some of the lower-grade higher-volume resources that could go into existing infrastructure could be closer to some of our own dumps, that could potentially also inform this. So we want to look at this and we've, in fact, allocated just over ZAR7 million at the last board meeting towards feasibility studies and work around the tailings deposition facility, et cetera, et cetera. We'll be working hard to just find out exactly what is the right match? What is the optimal combination of lower-grade, high-volume and the existing high-grade? And once we get to, this is the model, these are the costs , it's not ZAR4 billion, not in a month of Sundays is it going to be ZAR4 billion on current estimates. But once we've run all these numbers and look at the best business combinations, then we will, again, look at the availability of capital, just how secure our environment is. Are we going to get enough water and enough electricity? It's really electricity to pump enough water and to supply the plant to commit these sorts of funds because it's going to have to last for 15 years. What is appetite? Like at that point in time for an investment of this nature into this jurisdiction. And how available is capital? Where is the gold price? So we will take a long and a hard look. And typically, we would want to not take too much in the way of shareholder dilution. We would want to look at debt funding, a big chunk of that. We have an important shareholder, who may want to exercise an option to acquire another 12-odd percent in our company at some point or another, that could form a very important component of funding this. And, I think, that there might be some sort of synergy and timing, both around that as well. We haven't had these discussions but I'd be very surprised if that doesn't form part of the discussion topic at that time. We would see what are the - what the appetite would be for replacements of sorts. We would see what would be the near-term dilution impact - dilutive impact of that placement, what would that look like. And then we would try to hit the Crown running. Remember that while all of this is happening, you would still have Phase 1 running and producing at the rate that it's designed to produce so this is not something that's happening in isolation. You don't have a zero cash flow period, while you do this and one might want to also see to which extent you could fund some of this by way of operational cash flows. The one thing that we are very reluctant to do and which we managed to avoid as a condition to funding this time around, is to lock in gold price and forfeit the potential upside of gold price going forward. The instrument that we put in place this time around wasn't a condition of funding, it's something that we took as a risk mitigator in order to ensure that we don't bump into some of the cover ratios in the loan instrument that we have with ABSA. So this is something that we put in place, and we would be looking for similar kinds of funding where we limit the extent to which we have to lock in gold price. And I think once we're out of this instrument, we're going to be trading freely again and taking full exposure to gold price. So really, in summary, the Far West Phase 2 project is very important to us. We're very determined to do it. A lot of work is going to go into it though. We'll consider a variety of models. We'll try and to do as much of it with either the option that's going to be exercised and loan funding and limit the extent to which we have to dilute shareholders in the short- and medium-term, and we will not want to lock out gold price optionality because that's just too big a part. And hopefully, that gives a good answer. And all of this will happen while we - while the Driefontein is churning out cash hopefully.
Unidentified Analyst: Niel, it's Everest [ph] here. And I just - I'm just looking on to your presentation as well as the stat in South Africa in terms of gold production is about 142 tons of gold that is produced. So if I calculate with you guys is about 2% of productions nationwide. So it's quite significant in terms of gold production. So I just have a little bit of concern in terms of the 49 kilogram of gold that has been lost, like, early this year due to Eskom issue. We all know actually that Eskom will be a, like, quite a big issue. Have you thought about any - applied any alternative energy source such as green energy? So that's my first questions. The second one is, I was really expecting to see a little bit of a breakdown in terms of environmental rehabilitation spend, which is about ZAR24 million in terms of how the population is impacting and which - what is the real attempt that is really affecting the environmental rehabilitation spend? Because, right now, the company is in a stage whereby you have to look at which items, whereby you need to work towards cutting off some of the expenditures to ensure that's the - to maximize your profit or your revenues. So I would just like to see those things, if it's - could we break down, will much appreciate that.
Daniel Pretorius: Certainly. Look, I think your first question is a very valid one and I know a lot of companies are looking at alternative sources of energy. In fact, I believe in the Kalahari session, there is a 70-megawatt power station that is solar power station, which is making that area almost independent of Eskom. I think the dilemma that - one needs to look at these things in a broader perspective and just consider the impact of a failing Eskom against the environment within which we do business. And I'm a firm believer that in terms of crucial and important pieces of infrastructure, things that you cannot allow to go into neglect, a state of neglect. For example, the management of your tailings deposition facility, that there you need to have virtually independent capacity. But in terms of the plant itself and the various reclamation sites that we've got, we use so much power that in order to substitute that, you would have to have a forward-looking life of mine that can justify an offtake arrangement of 15 - up to 15 to 20 years. And I think those technologies have not really been developed to the fullest, to the full extent. The other concern that I do have is to rush into energy independence too early. If Eskom were to fail completely and I have a big concern that by so many of the bulk consumers, bulk paying consumers we're throwing from the grid or putting measures in place to reduce its consumption that Eskom's clientele, it's client base is starting to become unbalanced where you have a whole lot of nonpaying consumers that we need to continue to supply because if we don't, we face anarchy. And then on the other end, you have a shrinking, diminishing group of bulk consumers that pay on time at the risk of being disconnected. And if the one on the right, the bulk consuming paying clientele, if that were to shrink below sustainable levels, then it means that Eskom is ultimately not going to be able to sell enough units at a price where the broader population can afford to pay for it to keep its doors open. And then it faces a very real risk of complete financial collapse. And if Eskom collapses, there's no economy. And if there's no economy, I don't care if you have a 100-megawatt of power generating capacity, but you will not survive in an otherwise - you will not be an island of economic sustainability surrounded by a sea of anarchy and unrest, et cetera, et cetera, because that's what we face. If there' is no Eskom, can you imagine if there is a blackout today, and over the next month, there's no electricity, so no banks, no traffic lights, no trains, no airplanes flying in and out of South Africa, no food production, no refrigeration, et cetera, et cetera, where do you think we are in a month from now? So I think being power independent is an Elastoplast. It's not a in the broader context of our reality as a country and as an economy, sustainable solution. You can soften the impact. You can put in solar panels and have arrangements with Eskom where you feed power back into the grid during off-peak powers, or you - they draw - they're sort of playing around with that, balancing it. But the solution for our company and the solution for our country is one and the same solution. So hopefully, this wake-up call did not come too late, and we can still salvage it. I believe that there's going to be a complete restructure of Eskom, its debt, its balance sheet, its ownership, its relationship with private power generators, et cetera, et cetera. Solution to Eskom's problems is not by just putting up the rate, that is in fact - that's one of the, I think, to believe that, that is a solution is a folly. Insofar, your second question is concerned, there is a lot of information in our integrated report on what we do with regards - how we spend the split between where the environmental spend goes in and so forth. This month, for example, it was ZAR14 million on vegetation and dump management. And those are essential. You cannot really separate the one from the other. If you are allowed dust to be blown off the tops of your tailings dams into a society, then it's going to be a matter of time before you will be curtailed in your operations. So it's become core. It has become very much a core component of the business. We have to a large extent, I think, done what needs to be done in order to no longer be a nuisance in one of our most profound areas of impact, and that is at the Crown Tailings. The vegetation program there, that's been 10 years in the running. It's been very, very successful. And I think we've reduced dust emissions there by, compared to where it was 10 years ago, by probably 95%. So it's very seldom that you have significant dust coming of those. Fortunately, our vegetation does get burned down every winter for some reason, and then you have some nuisance following that. But on the whole, it's a well-established vegetation, and I think there, we could be innovative in how we approach the remaining areas on that dam in order to strike a balance between cash flow and operating expenses and revenues. But there's some other areas where work still needs to be done and it is very much part of core business. And I would like you to have a look at the integrated report. There's a very good write-up on there, that sets out exactly how that's been divided up in the different components of environmental management. All right, that seems to be it. Anybody else?
Unidentified Analyst: Could you talk a little bit just on your operational, your recoveries and so on cyanide, I mean, how is the effectiveness of your extraction going?
Daniel Pretorius: Well, we're not quite where we want to be, but I don't think we'll ever be exactly when we want to be. There's always that elusive 0.01 gram per ton that we want to get from the plant. On the whole, the plant is stable and predictable but we're continuously pushing the envelope and trying to for it to be better. We introduced this information management system, that's automated information management system a few years ago where we took the information that's been collected across the plant and this is automated information that's being sent to its data collection and we reduced it down to 7 or 8 so called nonnegotiables. These are the key drivers of the plant that interact and interplay and that can each have the effect of the plant going out of sync or becoming unstable or unpredictable. And what has helped us to do is because you could see exactly what is getting out of range or what is pushing against the limits of range, it helps you to anticipate those and to keep them within range and has also very much assisted us in precision dosaging. So whereas in the past, cyanide, for example, was something that was done at times reactively or proactively but hoping to see some sort of a result. We can now - because we know exactly where the other key drivers are, your dissolved oxygen levels, your pH, et cetera, et cetera, we can apply precision dosaging, which means that, that the range of cyanide - the concentration of cyanide or percentage of cyanide in the solution itself, that is far more stable. And the first year, for example, that we started doing that, I think, we saved on average about ZAR1 million a month just on cyanide. And also because the readings are so much more accurate, we have a much better idea of what the impact of changes in the combination - in the recipe, what the effect of those changes are because you now know that there's only one thing that's changed. So if you see a result of consequence, then you know that you're changing it in the right direction or in the wrong direction. So we're understanding the plant quite a bit better. And I think as a consequence, it's helping us to try different things to make efficiencies better. One of the latest additions to the plant and this ongoing study and the professor is the one sitting there right in front you, a very tall gentleman two rows in front of you. One of the - and he only looks so tall because the one sitting next to him is so tiny. The - one of the things that we're doing now is instead of just laboratory-based, bottle roll test because the energy dynamics in a bottle roll rest in a laboratory are different from what you find in the typical operating environment is almost like a mini plant, like a mini simulation of the conditions that we find in the plant. And so - and that too will start informing some of the decisions that we're making. And we're toying around with carbon inventory at this stage. We're dropping that carbon inventory a little bit. And we may want to start reducing the number of CLI tanks and introduce a different vegetation regime earlier on in order to - as part of your preparatory stages, your pre-con phase to maybe see if we get a different dynamic there, a different solution dynamic there. But it's an ongoing play. Tiny changes are making big differences on the whole. But they will ever not be a research component in how we go about our business. I think that's it.
Daniel Pretorius: Once again, thank you, so much. And please help us to eat all the sandwiches that they have prepared for us.